Operator: Greetings, and welcome to the IZEA Worldwide Second Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ryan Schram, President and Chief Operating Officer. Please go ahead.
Ryan Schram: Good afternoon, everyone, and welcome to IZEA's earnings call covering the second quarter of 2023. I'm Ryan Schram, President and Chief Operating Officer at IZEA. And joining me on the call are IZEA's Chief Financial Officer, Peter Biere; and IZEA Founder, Chairman and Chief Executive Officer, Ted Murphy. Thanks for being with us today. Earlier this afternoon, the company issued a press release detailing our performance for the second quarter of 2023. If you like to review those details, all of our investor information can be found online on our Investor Relations website at izea.com/investors. Before we begin, please take note of the Safe Harbor paragraph included in today's press release covering IZEA's financial results and be advised that some of the statements that we made today regarding our business, operations and financial performance may be considered forward looking. And such statements involve a number of risks and uncertainties that could cause actual results to differ materially. We encourage you to consider the disclosures contained in our SEC filings for a detailed discussion of these factors. Our commentary today will also include the non-GAAP financial measure of adjusted EBITDA. Reconciliations between GAAP and non-GAAP metrics for our reported results can also be found in our earnings release issued earlier today as well as in our publicly available filings. And with that, I'm pleased to introduce IZEA's Chief Financial Officer, Peter Biere. Peter?
Peter Biere: Thank you, Ryan, and good afternoon, everyone. I'll review our operating results for the quarter ended June 30, 2023, compared to the prior year's quarter and discuss balance sheet highlights. Total revenue for the second quarter of 2023 was $10.7 million, 15% or $1.9 million lower than the prior year quarter. Our net cash loss or EBITDA was negative $637,000 for the quarter compared to a gain of $254,000 for the prior year quarter. Our net loss in the current quarter totaled $1 million or $0.07 per share on 15.5 million shares compared to a loss of $170,000 or $0.01 per share on 15.6 million shares. These share counts are adjusted for our June 2023 four-for-one reverse split. Managed services bookings for the second quarter of 2023 totaled $7.3 million compared to $9.3 million for the prior year's second quarter, a 21% decline. Early this year, we announced that we are parting ways with one large customer, which I'll refer to as our non-recurring customer. Bookings from this non-recurring customer were approximately $70,000 for the current quarter and totalled $3.5 million in the prior year's second quarter. Stripping out bookings from this non-recurring customer, ongoing customer bookings, which include both new and existing customers, totalled $7.3 million in the current quarter, 24% above the prior year's second quarter total of $5.8 million, and which represented 99% of total bookings in the current quarter. Our order count from these ongoing customers was 25% above the prior year quarter and the average order size was unchanged. Importantly, bookings from ongoing customers also grew 25% sequentially from Q1 2023, showing strength in our core demand and that we're well on our way to replacing the sizable historic demand from our non-recurring customer. Managed services revenue totalled $10.6 million during the second quarter of 2023, which was $1.6 million or 13% below the second quarter of 2022. Revenue from our non-recurring customer totalled $3.3 million in the current quarter and $5.3 million in the prior year's second quarter, declining 37% and explaining more than the comparative revenue decline for the current quarter. Managed services revenue from our ongoing customers totalled $7.3 million during the quarter, 6% higher than the previous year's second quarter, which totalled $6.9 million. Gross margins are still impacted by the mix of revenues from our non-recurring customer, which has depressed our overall margin by about 20% on average for the last six quarters. We expect our average gross margin to improve over the next two quarters as we complete the backlog related to this non-recurring customer. Delivery time between bookings and revenues, which has averaged nine months during the past seven quarters, has improved to about 7.5 months currently. Our managed services backlog, which represents the total of unrecognized revenue for contracts that are underway, as well as recent bookings that we haven't started to invoice, totalled $12.7 million on June 30, 2023. Approximately $1 million of this backlog is related to our non-recurring customer, and we expect to recognize the majority of this amount as revenue in the third quarter. SaaS services revenue totalled $71,000 in the current quarter of 2023, down 82% from $400,000 in the prior year quarter. We previously announced that our IZEAx platform would be sunset during the second quarter of 2023 in favor of a new feature-rich platform we call Flex, which together with the creator marketplace launched in October of 2022, will provide IZEA with license and transaction fee revenue growth opportunities. The cost of license access is considerably cheaper, which means that as our subscriber base grows, revenues will grow at a slower pace. Our total cost of revenue was $6.3 million in the second quarter of 2023, or 59% of revenue, compared to $7.2 million, or 57% of revenue, in the prior year quarter. Gross margins were flat as a percentage of revenue, but the contribution margin fell with a higher revenue mix from our non-recurring customer in the current quarter. Expenses other than the cost of revenue totalled $6.1 million for the second quarter of 2023, up 5% from $5.8 million in the prior year quarter. Sales and marketing costs totalled $2.8 million during the second quarter, up 24% compared to the prior year quarter, due primarily to higher spending on brand awareness and demand generation activities to drive bookings growth. General and administrative costs totalled $3.2 million during the second quarter, down 6% from the prior year quarter, due primarily to lower overall compensation costs, partly offset by an increase in professional fees. Our net loss was $1 million for the second quarter of 2023, or negative $0.07 per share, compared to a net loss of $170,000 in the prior year quarter, or negative $0.01 per share. Adjusted EBITDA was negative $637,000 for the second quarter of 2023, compared to a positive $254,000 for the prior year quarter. The change in EBITDA was primarily due to lower gross margin dollars. As of June 30, 2023, we had $65.1 million in cash and investments. That's $2.7 million lower than at the beginning of the quarter, primarily due to additions to working capital, our share buyback, and a negative EBITDA. We earned $638,000 in interest on our investments during the second quarter. Lastly, we did not have any debt on our balance sheet. With cash on hand and liquidity from our investment portfolio as required, we believe we're in a solid position to execute on business growth and opportunities that may lie ahead. And with that, I'll turn the call back over to Ryan.
Ryan Schram: Thanks, Peter, and hello again, everyone. In our last two earnings updates, I shared that our management team was focused squarely on finding signals from the noise surrounding our broader advertising industry and keeping the organization accountable for things that we could control amidst contradictory macroeconomic indicators, and our understandably distracted brand clients who are being faced with many of the same challenges. Yes, budgets unexpectedly shifted or paused on certain initiatives, and timelines were challenged by these factors overall. However, our long-term view on the creator economy, paired with our resolve to meet our clients at their respective need state with an unmatched level of flexibility and value, has made a meaningful difference in the front half of 2023. Our team utilized the first two quarters of the year to drive new logo acquisition for our managed service business in particular. Said simply, we were not satisfied with our client concentration risk coming out of the 2022 fiscal year, and our sales leadership believed there was greater opportunity for IZEA to expand our team, our geographic footprint, and categorical breadth and depth if we took advantage to prudently invest when others in our space were pulling back. These efforts included recruiting senior-level sales personnel, along with added investment in higher-profile demand generation activities, many of which we highlighted in our last earnings call. We're pleased with the initial results that we're seeing from the front half of 2023, with 40% year-over-year bookings growth from new clientele and an average deal size increase for first-time projects nearly doubling in that same period. IZEA also produced an increase in sales pipeline, or the total dollar value of proposals placed in front of clients, in the first half of nearly 50% year-over-year, with the month of May setting an all-time record for pipeline creation in our business. Various industry analysts are now optimistic that advertising growth will improve in the second half of this year, with data largely showing the economy is moving in the right direction overall, and that second-quarter GDP data underscored that business investment spending increased over 7%, which has historically been a relevant leading indicator of advertising spend overall. Still, it's our expectation that there will be sector-specific or company-specific factors that IZEA will need to be highly mindful of and proactive against in order to capitalize on the opportunities in front of us. For instance, there's improved spending in categories such as consumer packaged goods and OEM automotive compared to 2022, in contrast to the challenges that we're seeing in sectors such as consumer technology or the broader media landscape. Looking ahead, we're focused on delivering growth through IZEA's diverse portfolio of offerings and strategies. For example, our robust managed service business as we know it today in North America, China, and the UK. Second, the company's continued investment and expansion via emerging markets growth, where IZEA identifies opportunities in markets whereby our approach to influencer marketing can be both differentiated and scalable. Third, our innovative and affordable SaaS and creator marketplace businesses; and last but not least, through opportunities for inorganic growth from competitive acquisitions in this space. IZEA remains an interested and opportunistic perspective buyer for the right scenarios, as we believe that the tide has turned within the creator economy to being a buyer's market compared to one to two years ago. Speaking of emerging markets, we had another exciting announcement a few days ago with the launch of IZEA into the South Korean market. We're extremely fortunate to have Edward Choi joining us to lead those efforts and believe his 25-plus years of experience across brand, product and digital marketing roles in Korea will be keenly beneficial to our success. If you'd like to learn more about our Korean offering, feel free to visit its website. It's at kr.izea.com. And now to share his perspective on IZEA's second quarter, as well as for additional commentary on what's next for the back half of 2023, I'd like to turn the call over to our Chairman and CEO, Ted Murphy. Ted.
Ted Murphy: Thank you, Ryan. 2023 continues to be a period of transition on multiple fronts as we lay the foundation for our next phase of growth. In the first half of this year, we made a strategic decision involving trade-offs regarding near-term revenue and customer counts in order to focus on more sustainable, diversified and profitable growth long-term. We are early into the back half of the year, but have growing optimism that our changes are going to bear fruit, particularly in managed services, where we are seeing large year-over-year pipeline growth, as Ryan mentioned. Managed Services is what drives nearly all of the revenue for our company today. We will continue to make investments in our team in the U.S. and see significant global growth opportunities as well via our emerging markets workgroup. Foundational to our managed services team success, is the technology that powers our campaigns, from identifying influencers and benchmarking brands to making payments and measuring results, but we do not intend for our managed services to be our only significant business unit of IZEA. Earlier this year, we decided to accelerate the transition from IZEAx for our managed services team and SaaS customers, which was originally slated for the end of 2023. We made this decision with the long view in mind. It was our decision to deal with the challenges in a period of economic downturn, so we could be unencumbered when strength returned to the market. The IZEAx managed services and SaaS customer transition completed at the end of Q2, and it had an outsized impact on our SaaS revenue this quarter. The drop in SaaS revenue was due to a combination of materially lower licensing fees for customers who made the transition, refunds to customers who had IZEAx licensing agreements into the future, as well as customers who churned in the transition for a variety of reasons. It has been a challenging transition for us, but we are now through it. We have reduced our SaaS product sales, support and engineering group headcount by 38% since December of 2021. We are running a much leaner product team, while at the same time delivering more innovation. We believe that SaaS revenue will hit bottom in Q3, after which we expect to grow. It will take some time to grow this SaaS revenue base back up to previous levels, but we believe this customer base will be more sustainable and valuable in the long run. In mid-June, we launched FormAI as part of the marketplace. It has had a very positive impact on user signups, overall traffic, and there's been a halo effect that has increased inbound managed services leads as well. Traffic to IZEA.com has increased 30% in July versus May. More importantly, monthly user signups for IZEA.com has increased 360% during the same period. We are seeing record site traffic with more organic search traffic, more direct traffic and lower acquisition costs for paid traffic. FormAI is a freemium model based on a credit system. We allow creators and marketers to come in and play with the various AI features without a subscription. The overwhelming majority of these new users are on free plans today. We are rolling out new FormAI features designed to both increase conversion rates and functionality moving forward. Some of these new features will only be available to paid users. This is all being accomplished with small, passionate product teams, leveraging a variety of open source software combined with our own software to create something unique and powerful. IZEA future where influencers and brands will work together to create new sponsored content through the magic of AI. We are calling this practice generative sponsorships and we are building the foundational experience for those sponsorships now. So as the technology catches up, we have a built-in base of both marketers and creators using our AI tools to create sponsored AI content of all types for all platforms. The impacts of AI on influencer marketing will be profound, and I believe largely positive. Based on the speed of improvement with AI, I see generative sponsorships beginning to take off in a material way within the next 18 months to 24 months. During our Q2 conference call, I announced that we were prepared to move forward with our $1 million share repurchase plan after our blackout period ended. We began buying shares in the open market in accordance with market rules and completed the $1 million share repurchase on August 04 at an average price of $2.73 per share. After the share repurchase, we ended the quarter with $65 million in cash and cash equivalents. We are now evaluating ways to deploy that capital in investments that can meaningfully increase near-term revenue and EBITDA for IZEA. Part of that growth will come from investments in new organic initiatives, such as our recent expansion into South Korea, but we are also seeking inorganic growth through M&A. With the transition to IZEAx behind us and new team members and leadership positions throughout the org, we are now ready to pursue these opportunities. It is our intention to catalyze a more aggressive growth curve and believe that meaningful top-line revenue is paramount to achieve sustainable profitability for a public company. Thank you all for your support and for joining us today. I will now open up the call for any questions from the analyst community.
Operator: I would like to turn the floor over to Ryan for closing remarks.
Ryan Schram: We would like to thank each of you for joining us this afternoon, and as a friendly reminder, you can find all of IZEA's investor information online on our Investor Relations website. That's at IZEA.com/investors. Have a nice evening.
Operator: This concludes today's teleconference. You may disconnect your lines at this time and thank you for your participation.
 :
 :